Operator: Good day, ladies and gentlemen and welcome to the Fresh Del Monte first quarter 2010 conference call. At this time, all participants are in a listen-only mode. At the conclusion of our prepared remarks, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this call is being recorded. I would now like to introduce your host for today's conference call, Christine Cannella for the opening remarks.
Christine Cannella: Thank you, [Kenly]. Good morning everyone and welcome to Fresh Del Monte's first quarter 2010 conference call. I'm Christine Cannella, Assistant Vice President of Investor Relations. Joining me today are Chairman and Chief Executive Officer, Mohammad Abu-Ghazaleh; and Senior Vice President and Chief Financial Officer, Richard Contreras, who will discuss our results for the first quarter. Fresh Del Monte issued a press release this morning via Business Wire, e-mail and FirstCall. You may visit our website at www.freshdelmonte.com to register for future distribution. This conference call is being webcast on our website, and it will be available for replay approximately two hours after conclusion of this call. Our press release includes reconciliations of any non-GAAP financial measures we mention today to their corresponding GAAP measures. The press release maybe found again on our website. This morning, Mohammad will review our operating performance during the quarter, along with recent developments and future outlook. Richard will then review our financial performance for the first quarter of 2010. Please let me remind you that much of the information that we will discuss this morning, including the answers that we give in response to your questions, may include forward-looking statements regarding our beliefs and current expectations with respect to various matters. These forward-looking statements are intended to fall within the Safe Harbor provision of the Securities laws. Our actual results may differ materially from those in the forward-looking statements as a result of various factors, including those described under the heading “Description of Business Risk Factors” in our Form 10-K for the year ended January 1, 2010. This call is the property of Fresh Del Monte Produce. Redistribution, retransmission or rebroadcast of this call in any form without our written consent is strictly prohibited. With that, I'd like to turn this call over to Mohammad Abu-Ghazaleh. Mohammad.
Mohammad Abu-Ghazaleh: Thank you, Christine. Good morning everyone and thank you for joining us for today’s earnings call. The first quarter of 2010 was a good quarter and a solid start for the year for our company. We delivered higher results on both the top and bottom line compared with the first quarter of 2009. Our other fresh produce and prepared food businesses drove of the quarter’s performance with higher sales and profit growth. We are pleased of our excellent performance despite a number of operating challenges and continued weak economy. During the quarter, we achieved higher sales in our banana business segment, propelled by higher sales volume and steady demand in North America and the Middle East. However, banana profitability was negatively impacted by significantly lower banana pricing in European markets. Additionally, our banana sourcing areas in the Philippines were impacted during the quarter by a drought, which resulted in lower volume for our Asian markets. Our competitive positions gold pineapples remained strong during the quarter with higher sales in all regions. Recently the USDA published a report forecasting global per capita consumption of fresh pineapple to continue to increase. Fresh Del Monte remains well positioned as a global leader to capitalize on this growth trend. Our fresh-cut product line turned in another excellent quarter with higher sales volume. Our North America business remains strong as consumer demand for Del Monte branded fresh-cut products continuous to grow even in a difficult economy. Our melon product line results improved significantly during the quarter compared to the prior year period with pricing gains coupled with lower industry wide volume. We also began introducing new varieties to our growing areas, further diversifying our global melon business. We also experienced higher sales and pricing in our deciduous product line due to an excellent Chilean growing season. We achieved higher pricing and premium quality fruit for entire season. In spite of the earthquake, our operations continued normally with the very short interruption. We are starting to see a turnaround in our prepared food business segment. While not yet, what I would like it to be the sales and margins performance during the first quarter demonstrates the progress we have made in this highly competitive business. Looking forward about our prepared food marketing campaigns that we plan to launch later in the year, which will support a variety of new health food products being introduced in the second half of 2010. We continued our global expansion initiatives in emerging markets during the quarter with the opening of distribution center in Jeddah, Saudi Arabia. Jeddah is our 45 largest global distribution center. In summary, I'm very encouraged by what we have accomplished in the first quarter of 2010. Given the challenges we faced from a weak global economy as a result of our diversification strategy, we were able to minimize our risk exposure to any one product or region and delivered a very solid start to the year. We look to continue to increase our global customer base and expand our region into emerging markets going forward. With that, I will turn the call over to Richard to review our first quarter results in more detail. Richard.
Richard Contreras: Thanks Mohammad and good morning everyone. For the first quarter of 2010 excluding asset impairment and other charges net Fresh Del Monte delivered earnings per share of $0.61 per diluted share, compared with $0.56 in the prior year period. Net sales rose 7% to $943 million compared with $880 million last year at this time. In addition, excluding asset impairment and other charges net, gross profit was $99 million compared with $84 million in the first quarter of 2009. Operating income was $57 million, compared with $47 million in the prior year first quarter and net income was $38 million compared with $35 million last year. The first quarter results include charges totaling $2 million related to the earthquake in Chile, the charge contains $1 million of other charges above the gross profit line and another million dollars of asset impairment and other charges net. Now let's turn our segment performance for the quarter. During the first quarter, in our banana business, net sales rose 11% to $403 million. Volume was 16% higher than last year at this time. Worldwide pricing decreased 4% to $0.57 per box to $13.97 per box. This decrease was due to lower selling prices in Europe. Unit cost increased 4%, primarily due to higher ocean freight costs and gross profit decreased to $18 million compared with $44 million a year ago. Subsequent to quarter end on April 19, our Guatemala banana production areas suffered severe high winds, knowing the industry as a blow down. At this time, we’re not able to determine the full effect of blow down we’ll have on our results. Although, we’re estimating a loss of approximately $1.4 million boxes plus the impact loss of volume will have on the cost of the remaining fruit. In our other fresh produce business segment for the first quarter, net sales increased 5% to $440 million, compared with $419 million in the prior year period and gross profit increased $37 million to $65 million. In our gold pineapple category, net sales were up 17% to $124 million. Volume rose 13%. Unit pricing was 3% higher primarily in Europe and unit cost were 5% lower due to the higher volume. In our melon category, net sales decreased 3% to $77 million. We reduced volume by 22%, unit pricing increased 24% and unit costs were 7% higher. In our fresh-cut category, net sales increased by 12% to $75 million, as demand remains strong in North America. Volume increased 4%, unit pricing was 7% higher and unit costs were 4% higher. In our non-tropical category, net sales rose 3% to $103 million, volume decreased to 11%, unit pricing increased 17% due to very strong Chilean season both before and after the earthquake and unit cost were 3% higher. In our tomato category, net sales increased 16% to $35 million. Volume decreased 8%, unit pricing was 27% higher and unit costs increased 27% due to industry wide volume shortages. In our prepared food segment, net sales increased 8% to $83 million, primarily the result of increased sales in our industrial juice concentrate and in our canned non-tropical fruit product lines. Gross profit increased 16% to $13 million, principally due to increased sales volume and higher selling prices in our industrial juice concentrate product line. In our other products and services segment, net sales for the quarter decreased 19% to $18 million. Gross profit was slightly higher than the prior year period. Now for some comments on costs, banana fruit cost, which includes our own production and procurement from growers increased 1% and represented 28% of our total cost for sales for the quarter. Containerboard cost decreased 14% compared to the first quarter 2009 and represented 2% of our total cost of sales. Bunker fuel cost increased 63% and represented 4% of our total cost of sales. Ocean freight costs during the quarter, which includes bunker fuel, third-party charters and fleet operating costs increased 4%. Ocean freight represents 14% of our total costs of sales for the quarter. The foreign currency impact at the sales level for the first quarter was favorable by $17 million, compared to the prior year. The foreign currency impact at the gross profit level was an unfavorable $3 million compared with the first quarter of 2009. SG&A increased 14% to $42 million from $37 million last year. The increase was primarily attributable to higher selling and marketing costs in our prepared food business segments in Europe along with our Middle East expansion. Other income net was a loss of $9 million, compared with a loss of $6 million in the prior year period and in both periods was primarily comprised of foreign exchange losses. Interest expense net increased by approximately $700,000 due to the higher interest rates under our credit facility. At the end of the first quarter of 2010, our debt was $309 million. For income taxes, we continued to project a 15% companywide effective tax rate for 2010. Capital expenditures for the year are expected to be approximately $100 million. That concludes our financial review. With that, I'll turn over the call to the operator to begin the question-and-answer portion of the call.
Operator: Thank you. (Operator instructions) We’ll take our first question from Heather Jones with BB&T Capital Markets.
Brett Hundley - BB&T Capital Markets: This is Brett Hundley standing in for Heather. I guess I just like to start on the banana fruit costs, unit costs up 4% and thanks for the color on the wide array of cost there, but it looks like fuel would be maybe, I don’t know half of the increase. So I’m just wondering if you could put more of a qualitative discussion onto the remaining cost increases to the Philippines play into that. Just I want to talk more about, why cost were up again outside of fuel and then what you expect going forward?
Richard Contreras: As I said earlier, banana fruit only, not the total cost of sales for banana, but banana fruit cost was up 1% and that’s pretty much comprised as expected to grow our procurement cost were higher this year, that was expected, our own production is up a little bit not quite as much as grower, but has talked us well one of the reasons is the exchange rates in the producing countries.
Brett Hundley - BB&T Capital Markets: What is your outlook on fruit cost themselves specifically?
Richard Contreras: We don’t get outlook on fruit cost
Brett Hundley - BB&T Capital Markets: Then can you give me, what kind of hit tomatoes were during the quarter on the profit line?
Richard Contreras: What kind of hit tomatoes, as we said, the pricing and cost was up 27% each so and our margin it is even, and sales were up 16%.
Brett Hundley - BB&T Capital Markets: Can you talk maybe little bit about your expectations for the tomato business considering current trends?
Richard Contreras: No, I’m sorry we don’t give guidance on that front.
Brett Hundley - BB&T Capital Markets: Well, pineapples as sales saw there benefiting from strong volumes, volumes up 13% as one of you could talk a little bit about what you’re seeing in this segment. I’m assuming a recovery from Caribana impacted floods last year, but with a strong volumes, I’m wondering if something structurally has change and do you expect similar type growth as your comps get more difficult this year, or should the year-over-year increases may be not be as pronounced going forward?
Richard Contreras: I mean, sales were up. We’ve got more volumes this year, and as expected, we’re getting good demand from the customers. I would not model the same margin that you have this typically the first and second quarters of higher margins, so I wouldn’t necessarily consider margins all year, but we do expect the sales to continue to grow.
Brett Hundley - BB&T Capital Markets: Just one more if I may, it looks like the share repurchase during the quarter would have implied a greater drop in the share count than what took place. I’m just wondering if that was done to just cover any dilutive effects from stock options and alike, or if there were something else there?
Richard Contreras: Nothing to do with dilutive effect of stock options, we are just opportunistically buying, when we believe the shares are under valued in accordance with the plan approved by the Board of Directors.
Operator: We’ll take our next question from Scott Mushkin with Jefferies & Company.
Scott Mushkin - Jefferies & Company: I had a couple here. First of all I wanted to see if you guys had any updates on innovations. I saw tomatoes turned in some big growth. I also know you had some other things you were doing innovation wise and I wanted to see if we had any update on that or if you could offer an update there?
Mohammad Abu-Ghazaleh: What kind of innovation, Scott?
Scott Mushkin - Jefferies & Company: Well, just like some of the fruits. I know you guys were doing some stuff in melon to hopefully drive profitability the melons overtime, similar to, maybe not to the same extend with the gold pineapple, I’m just wondering if you have anything that you think is commercially viable that may become into market next year or so?
Mohammad Abu-Ghazaleh: Yes, we do have a couple of varieties that we have been testing in market for the last two, three months and we see a good prospectus for these and these will be introduced and being next festival season hopefully by the end of this year. So we do look forward that, well we don’t want to be in the mainstream melon let’s say kind commodity item, we would like to be with certain exclusive varieties that can make a difference in the market.
Scott Mushkin - Jefferies & Company: So you felt like you’ve made significant progress on that front?
Mohammad Abu-Ghazaleh: We believe we have the reaching on a certain variety that will be exclusive to first 12 months and that it will make a difference to us.
Scott Mushkin - Jefferies & Company: Then going to melon trends, they improved. I was wondering if we can get any more insight into how the melon business is trending compared to last year, which I know was very difficult. So any thoughts on that would be great as well.
Mohammad Abu-Ghazaleh: No, the melon business we cannot be so proud and even if we have improved so much from last year. We still believe that this business is still struggling the melon business in general in the market is not doing well. Usually, it’s over production on one-side and the quality of these melons is not the optimum that I would say the market or the consumer would like to have. So, that’s why we put different approach to the business and we have reduced our volumes, of course as we see from last year. As I said just a minute ago, we are changing our model into this business. So, hopefully by the end of this year, we will see a different story.
Scott Mushkin - Jefferies & Company: That’s a little bit, I know that we haven’t touched on this in a while, but I do think, and maybe I’m wrong in remembering this, but there were some ships that we’re kind of coming out of commission, and I think you’re going to replace them or maybe go onto the leasing market. I maybe not have the update on the information, but as one of you could give us any insight, since I think Richard said shipping was 14% of costs, kind of where we are on vessels and capital program or what not?
Mohammad Abu-Ghazaleh: Yes, we have been putting some vessels to scrap and we are doing right now a couple of vessels that will go to scrap in the next couple of months. So, we are favoring out our all the fleet and either replacing them by charter leased vessels from the outside or by utilizing our fleet in a more efficient way.
Scott Mushkin - Jefferies & Company: Do we expect expenses to head up in that area, or do we think that, as we go to scrap and we get to go to charter or be more efficient, that our expenses should hold in?
Richard Contreras: It should at least hold, Scott. You can see the results when I said bunker fuel was up 63% and Ocean freight, which includes bunker fuel, was up only 4%. So, you can see there is the decrease in the operating cost.
Scott Mushkin - Jefferies & Company: I guess that I have one more, maybe I’ll get back in the queue. I’ve just got to say, guys, really nice work. It shows your model really works in a tough climate with what happened in Europe. So, congratulations on a really solid quarter.
Mohammad Abu-Ghazaleh: Thank you very much, Scott.
Operator: We’ll take our next question from Bill Chappell with SunTrust.
Bill Chappell - SunTrust: I was wondering if you’d just give us first a little more color on what’s going on in the Philippines and the drought and kind of when you expect volumes to recover and how that might play out?
Mohammad Abu-Ghazaleh: No, the broader is still there and in the production it’s not at the normal level that we usually have in this company as we speak. Hopefully, by the end of the second quarter we can see some maybe improvement sales come back and we see a better, a more normal production pattern, but anyway, I mean, the markets in Asia were not during the last couple of months, I mean the beginning of the year, we’re not that robust the markets were weakened it’s only recently that we saw improvements in the market. Japan actually use to be much stronger market year-over-year, but Korea now is better than Japan, but this is the period where we peak in end pricing and we that see that in Japan in the time being. So, it’s not only a shortage of fruit, the market was weak as well. It’s like catch one, you don’t have too much negatively we have more fruit it should not done maybe differ to the Asian markets we’ve probably does done to other markets. Let them release and other markets, but not definitely to Japan or Korea at that time.
Bill Chappell - SunTrust: So, just to make sure I understand, right now, it sounds like the lower demand in Asia is kind of offsetting the lower supply you are not seeing - I guess there was a thought that the lower supply in Asia would create higher prices elsewhere to offset that. That’s not happening at this point?
Mohammad Abu-Ghazaleh: No, that is not true.
Bill Chappell - SunTrust: The second question just on a couple one-off issues, so the blow down happened in the past month and that is just the understanding of the 1.4 million boxes is thus far and then kind of a real one-off, would there be any impact with the current oil spill in the Gulf in terms of getting product to market and I think you have a New Orleans facility, any worries or concerned there?
Mohammad Abu-Ghazaleh: No, of course it will hit us as far as costs are concern in Guatemala with the loss of so much fruit, but there’s enough fruit around to fulfill whatever requirements that we need in the markets.
Bill Chappell - SunTrust: In terms of the Gulf, I mean as they talk about possibly slowing shipping lanes and --?
Mohammad Abu-Ghazaleh: I mean in Gulf of Mexico here?
Bill Chappell - SunTrust: Yes, I'm sorry Gulf of Mexico.
Mohammad Abu-Ghazaleh: We don’t see any no, I mean it doesn’t Gulf of Mexico is a very big place. So ships can divert and go around, it’s not a big [issue].
Operator: We’ll take our next question from Jonathan Feeney with Janney Montgomery Scott. Mr. Feeney your line is open.
Jonathan Feeney - Janney Montgomery Scott: I guess my first question would be, when you look at this pineapple business, I mean it was spectacular performance. Is this the economy coming back here? Is this like hotels, restaurants and specifically, which regions drove of that kind of increasing demand?
Mohammad Abu-Ghazaleh: I guess people are realizing now that only pineapple that you can eat is Del Monte. So people are going back to Del Monte that’s probably is the bottom line. We are of course having more customers that are switching from other brands to Del Monte and also there should be some type of increased consumption, but I believe that Del Monte is gaining, tracked in the market due to the quality and delivery consistency, quality, ability to deliver volume and sizes and that’s the kind of strength that Fresh Del Monte have.
Jonathan Feeney - Janney Montgomery Scott: So it sounds to me like the market itself hasn't really accelerated; it is just that Del Monte is winning some share back?
Mohammad Abu-Ghazaleh: I believe so, yes.
Jonathan Feeney - Janney Montgomery Scott: Okay, and that is pretty even across the territories? It is not like I’m trying to figure what is it like a 30% or 40% increase in a place at growth market like the Middle East that drove it or was it just pretty much double-digit volume growth across the Board?
Mohammad Abu-Ghazaleh: No, in the Middle East hasn’t get we haven’t see any update growth in the Middle East. The Middle East is still a small volume compared to long term projection, but its North America and Europe actually are the driving forces here.
Jonathan Feeney - Janney Montgomery Scott: On the banana business, particularly in Europe, one of your competitors lost some significant volume in that market, if I just do the math on what you did in the different regions, it seems like you had some very nice volume going into Europe, particularly considering sales were up and we know what pricing did. Was that part of a strategy in your part, just sort of gain share in Europe or what drove that decision?
Mohammad Abu-Ghazaleh: No, we don’t have strategy to increase. We placed our fruit wherever we think is the right market and the right price and we monitor that as we go and we don’t have Europe just, I mean continental Europe. We do have other markets that are being regularly supplied now by Del Monte and with the new regions in emerging markets that is giving us also a lot of flexibility. So it’s an overall strategy, which I did not like to discuss on a conference call.
Jonathan Feeney - Janney Montgomery Scott: Just last question, how do the mechanics work of a significantly positive effect in foreign exchange on the top lines with a significantly negative effect on the bottom line? Was there a money losing region, where the currency got stronger?
Richard Contreras: On the top line, we do have some hedging in place and that have an impact Jonathan, and on the cost side we had increases in both in Chile and in Costa Rica in producing areas which offset the top line.
Jonathan Feeney - Janney Montgomery Scott: So in a nutshell, producing currency strengthened in certain spots that raised your costs and there’s a mix and match of hedging offsets at the top line, but not enough to offset those costs?
Richard Contreras: Correct.
Operator: We’ll take our next question from Eric Larson with Soleil Securities.
Eric Larson - Soleil Securities: Again, it was a good, solid quarter given the fact it’s some pretty difficult operating conditions. Quick question on the prepared food side, I think this is really kind of more solid evidence that you’ve maybe turned the corner on the prepared food side, pretty strong sales growth and some profit improvement. Is it a function of what you folks have done with the business or are you also seeing the combination of some improving consumer acceptance, maybe a stronger economy in the UK in particular?
Mohammad Abu-Ghazaleh: No, it's actually our focus on the business and how our people have -- I mean put it in the right direction and we learned from our mistakes and now the business is back on track. The UK economy has weak. Europe is very weak as matter of fact. It's a fit continent unfortunately and never expect, so it's nothing to do with the economies actually more focus on certain new markets measuring markets just focusing on the items that can make money and rationalizing our business in a better way.
Eric Larson - Soleil Securities: Mohammad, just give me a sense, a business sense. If Europe remains as weak as it does, which Europe does not look good and you’ve got a lot of fruit over there that you’re not making a lot of money on, could that fruit end up more in North America and start hurting the North American markets a little bit more? Give me an idea -- share with me how you are thinking about the supply demand function by region on bananas going forward? I guess I worried that there’s a lot of fruit out there that could start moving out of Europe and into other regions and impacting those regions as well.
Mohammad Abu-Ghazaleh: As far as we are constrained, most of the North American business is on contract basis. So most of our volumes is contracted through out the year and if we bring additional, it will be minimal because now you have the wholesale market open markets, which can take maybe more than 54,000 players. They will depending on the season, now we are in a good season up to the end of May into early June, and of course the summer fruits stop kicking in and it look to be the different the pictures, as far as North America, as far as we have concern, our low volumes are more consistent on more, I mean probably during the summer will be a little bit reviews due to the number, and I believe that same applies to all of our players in the market. As far as Europe is concerned, this is the big problem. It’s an open market, too many people are playing there, container ships have made a big difference in today's picture, small players can come in, and our producers can ship a consignment or even to small wholesaler. So in my opinion Europe will be the problem, and I don't think that is the short -- did not have a supply into Europe and that oversupply and I think that was the main factor that why Europe is suffering because to be oversupply situation. The economy is weak, I mean there’s no question about it, but on top of that the oversupply was a determining factor for the food results that we are suffering, then we’re talking about four, five euros and in terms of price year-over-year, I mean right now probably, we’re talking about five euros less by what we’re selling at the same time last year. So that gives you a picture of what's going on there and I don't see that is going to improve on the contract, I believe it's going to get towards as we go forward. I don’t see how it can improve really in the near future.
Eric Larson - Soleil Securities : Just to dive a little further into the European excess capacity issue, with the different types of container ships that allows smaller players to come in, what gets that capacity out of the way, Mohammad? I mean, how do you start getting rid of that excess capacity? Obviously, profitability and losses by some of these smaller players, they can't afford to continue on. Are most of these players well healed or are they players at the margin?
Mohammad Abu-Ghazaleh: Well, it depends really, I mean a small producer doesn’t have the cost of the big multinational like us and we do have a lot of overhead that we have to carry and producer that his cost is own production is the one operator or player. So we cannot make comparisons here, but very small fruit than what is made actually in the market that’s the problem, that’s always producing heavily. Sometimes America is producing far above last year’s levels. Unless, I mean we cannot get onto weather, a couple of months, two, there, four months we have the hurricane or flood or whatever that’s the only way that production can go down, but other than that I don’t see our production will go down.
Eric Larson - Soleil Securities: So you think you will get an excess banana supply situation for a bit of time here?
Mohammad Abu-Ghazaleh: I believe, yes.
Eric Larson - Soleil Securities: Then just a final question, Mohammad, you guys still continued to generate good cash and you obviously are funding your capital expenditures and then reducing your debt. Are those still the two primary uses for your cash near term? Could you see at some point reinstating, obviously it has to be approved by your Board, but reinstating a modest dividend, how would you view a use of cash?
Mohammad Abu-Ghazaleh: Just like you said, the bend down a little bit for allocation of capital expenditure in our new investments and in case like Richard said, the few minutes ago your question, that we might repurchase stock as we go along and our Board can define and they really want to reinstate, a small dividend in the future that’s should be on the table as well, but nothing of that sort at this moment.
Eric Larson - Soleil Securities: I will follow-up offline with other things. Thanks, guys.
Operator: We will take our next question from Diane Geissler from CLSA.
Diane Geissler - CLSA: I just wanted to ask, in terms of the delta here, for me it wasn't so much on the gross profit line. It was more on the SG&A expense, which was a bit higher than I had been modeling. I think in your comments, you mentioned it was higher selling and marketing expenses. Could you give us a little bit more detail on what’s going on with the SG&A line? Then I guess to the extent that it was higher this quarter on a year-over-year basis, what we should look for in the rest of the year? Is that a run rate we should use or if you could help us out, I would appreciate it.
Richard Contreras: Yes, Diane as we’ve said the reason it was higher, there were two main reasons it was higher. One was the marketing program for the prepared food business in Europe that we’re kicking off and that will go on to the rest of the year and then obviously there’s a little bit more on SG&A because of the opening in Saudi Arabia and Middle East expansion. As far as for the full year, last year 2009, our SG&A was about 4.7% of sales and we’re projecting the same number this year, 4.7% of sales, yes.
Diane Geissler - CLSA: Then I guess just to key off with Eric's question regarding cash flow. I know acquisitions are always something that you're looking for. In this type of environment were it seems like, particularly on the banana side that producers are struggling. Is your expectation that there might be something available this year? Can you just talk a little bit about the acquisition environment right now?
Mohammad Abu-Ghazaleh: We don’t see anything at this moment. We don’t anticipate anything, which type of acquisition in the near future. We’re not planning at this time to acquire banana companies or banana plantations.
Diane Geissler - CLSA: I guess really anything broadly on the acquisition front?
Mohammad Abu-Ghazaleh: No, nothing at this time.
Diane Geissler - CLSA: Then just to follow-up on the prepared foods, I know when you acquired that back in the early part of the decade, part of the appeal was sort of higher gross margin than corporate average. Can you give us, obviously struggle, you have got competitive issues, private label, etc., but can you give us an idea about what you target as sort of the optimum gross profit level in that business? Is it mid-teens? Is it below that, low double-digits? Is it higher than mid-teens? Kind of what should we be thinking once you’ve got the business turned around and it’s operating the way you think it should?
Mohammad Abu-Ghazaleh: It should be in the teens range and we took over the troubled company and own it was in very bad shape and it took us time to really work it out and find the best model to work with. Our focus will be not just on co-markets, which is Europe actually the UK and particular, but on the emerging markets, which we are doing very well, we are making envelopes. In the Middle East, we are making very nice envelopes in Africa and that’s where actually we are going to focus in the coming year. We are planning to leverage the brand on several followers that we believe will be very promising to our business and our company and that’s we are going to concentrate on this markets then to reduce the brand and expand in too much (Inaudible).
Diane Geissler - CLSA: So in 2009, you had a gross margin in that business of 15.5%, we should be looking for something 100 basis points higher, 200 basis points higher? I mean what’s the goal?
Mohammad Abu-Ghazaleh: We can’t at this time really give an indication or guidance on that subject, what we do our business as we see best for our shareholders and then…
Diane Geissler - CLSA: Based on your commentary, it sounds like that’s not an acceptable level of gross margin for that business. I thought it was actually pretty good gross margin.
Mohammad Abu-Ghazaleh: Then we always seek to improve our profitability these on kind of mankind or any other item we have, this is our main target on whole, you know mission.
Operator: We’ll take our next question from Ed Roesch with Cantor Fitzgerald.
Ed Roesch - Cantor Fitzgerald: My first question is on other fresh produce. It was a pretty remarkable strong quarter and it seemed like the general trend was pricing on a weighted average basis being up about 12% and your costs only up about 3% to 3.5%. Now I’m just trying to understand, is this just something that just happened to coincide where this quarter benefited from costs only being up a little bit, pricing a lot stronger? Would you attribute it more to consumer demand recovering or how sustainable are these types of trends?
Mohammad Abu-Ghazaleh: It is a one-time trend. On the fruit business, we cannot make guidance for following year, I probably the main reason for that was the Chilean pizza. I mean this year was remind of like 15, 20 year this used to be the pricing that we also due you have 15years ago and Chilean and this year particularly turns out to be a very good year -- they were all sharp edged in supply in Chile at the beginning of the season and then they had the earthquake as that helped to elevate some of the volumes from the market. So all in all, when the Chilean season started the California season was overall and there wasn’t focus into market. So if one of these seasons that I can tell you today that it will be very difficult to achieve the same pricing for the next season for next season for the Chilean fruit, because I know from experience that this was an excellent and exceptional season, so I guess, the producer Chile, we, everybody was lucky that we have several companies and several factor that worked in our flavor, which resulted in these excellences during the season.
Ed Roesch - Cantor Fitzgerald: There is excellent results and then moving to Europe and we had from when you competitors, that maybe some of the customers are front running, lower tariff rates and that might account for some other price pressure that’s been seen in the market now. Are you seeing any of that factored into lower prices there?
Mohammad Abu-Ghazaleh: Nothing of that, I mean, the price in Europe we follow actually [ALDI] price. I don’t know if you know what is [ALDI] price this is a chain that they decide what is the price for the market. So if they price the bananas this week at say in euros, everybody is going to be selling at this price. It’s nothing to do with the tariff, nothing to do with the -- it is a method of supply and demand, that’s all.
Ed Roesch - Cantor Fitzgerald: Can you just remind us, have there been any demands from retailers ahead of the lower tariffs at all that you’ve seen, maybe not related to Q1 pricing, but just in total?
Mohammad Abu-Ghazaleh: Not to our knowledge, now we have anything like that. I think when the tariff is reduced physically I mean, and we see that we will pay less, then we will see how market for that either the market will demand that we reduce our prices accordingly with the tariff reduction, or they will accept our products even though we have a less thoughts of it, it’s better than to say how the market was act, but I don’t think that it will make a difference really.
Ed Roesch - Cantor Fitzgerald: The last question on bananas, you had a very large volume increase 16%. Did you pick up some new growers it was the first question and then secondly, was the Mid East an outsized portion of that growth?
Mohammad Abu-Ghazaleh: Yes, the both of your questions, yes we picked up growth and second question, yes, we increased our volumes into the Middle East.
Ed Roesch - Cantor Fitzgerald: Was the Mid East a large portion of that? I mean could that have accounted for 8% of the growth in banana volume?
Mohammad Abu-Ghazaleh: No, no it just talk the Middle East actually only a couple of months and so. It’s not even full quarter. It’s like half of quarter and we just getting up into this market.
Operator: We’ll take our next question from Vincent Andrews with Morgan Stanley.
Vincent Andrews - Morgan Stanley: Most of my questions have been answered, so just a quick one on cash flow generation in the quarter, maybe the capital adjustments. Is there anything in particular going on there?
Richard Contreras: No, receivables and inventories were up for various reasons the sales growth and the volume growth is part of it, but nothing unusual other then that.
Vincent Andrews - Morgan Stanley: My last question was on the other expense line, went from $6 million to $9 million. Can you just remind us what’s in there and give us a sense of how to, if you can, think about that line on a go-forward basis?
Richard Contreras: That is, what it is foreign currency translation and that is very difficult to forecast just a model for any of us. Because this just depends on your assets and liabilities in foreign currency of those balances plus how the currencies behave, so it’s very, very difficult to forecast.
Operator: That concludes the question-and-answer session today. At this time I’ll turn the conference back over to Mr. Mohammad Abu-Ghazaleh for additional or closing remarks.
Mohammad Abu-Ghazaleh: Thank you very much. I would like to thank everybody for joining us on this conference call and hope to speak with you on our next second quarter call hopefully and wish you a good day. Thank you every body.
Operator: That does conclude today’s conference. We thank you for your participation.